Jose Haresco: James Terwilliger - Wunderlich Securities Jan Wald - Benchmark Company
Operator: Good day ladies and gentlemen and welcome to the Q1, 2014 Cardiovascular Systems, Inc. earnings conference call. My name is Ashley and I will be your coordinator for today. At this time all participants are in listen-only mode. Later we will conduct a question-and-answer session (Operator Instructions). I would now like to turn the conference over to your host for today, Larry Betterley, Chief Financial Officer. Please proceed.
Larry Betterley: Thank you, Ashley. Good afternoon and welcome to our fiscal 2014 first quarter conference call. During the course of this call we’ll make forward-looking statements. These forward-looking statements are covered under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, and include statements regarding CSI’s future financial and operating results or other statements that are not historical facts. Actual results could differ materially from those stated or implied by our forward-looking statements due to certain risks and uncertainties, including those described in our most recent Form 10-K and subsequent quarterly reports on Form 10-Q. CSI disclaims any duty to update or revise our forward-looking statements as a result of new information, future events, developments or otherwise. We’ll also refer to non-GAAP measures, because we believe they provide useful information for our investors. Today’s news release contains a reconciliation table to GAAP results. I’ll now turn the call over to Dave Martin, CSI’s President and CEO. Dave.
David Martin: Thank you, Larry, and hello everyone. We’re pleased to report an excellent quarter. Our performance of expanding the $2 billion PAD market drove first quarter revenues to record levels. Revenues rose 28% year-over-year and 3% sequentially over the fourth quarter, which was also very strong. Physicians continue to embrace our easy to use technology. The Diamondback 360 is a primary treatment option, including for arterial calcium. Calcium is present in approximately 65% of all peripheral arteries treated, as well as nearly 80% of the small arteries treated below the knee. Building on our Peripheral franchise, nine days ago CSI received FDA approval to market our Diamondback 360 Coronary Orbital Atherectomy System to treat severely calcified coronary arteries. This is an exciting and landmark moment for patients suffering from calcified coronary artery disease and their families, for physicians treating this complicated condition and for everyone at CSI. After nearly seven years of investment, we were able to bring to market the first and only FDA approved device to treat severely calcified coronary lesions. This is the first new coronary atherectomy system introduced in over 20 years. Our mechanism of action is unique and has never been offered before. On the peripheral front, we continue to enroll patients in our post-market Liberty 360 study. This trial evaluates the acute and long-term clinical and economic outcomes of our system in treating PAD. We continue to spread the word about the challenges and complications posed by arterial calcium. All of our efforts are focused on CSI’s role as the primary therapy for this difficult condition. Our goals for fiscal 2014 are to expand the use of our orbital atherectomy system as the primary therapy for treating calcified arteries in the PAD market, building on our base of scientific data that supports safety, effectiveness and economic benefit of our products and conduct a successful targeted coronary launch. Now, Larry will provide more details on our financial results and I’ll come back to recap additional clinical and research activity before we take your questions.
Larry Betterley: Thank you Dave. CSI reported a strong first quarter. For the first quarter of fiscal 2014 compared to a year ago, revenues grew 28% to $29.8 million, which was above our guidance. Device revenues were 88% of the total. We sold more than 8,500 devices, bringing the life to-date total sold to more than 125,000. Reorder revenues remained high at 96% of total revenue consistent with last year. We added 50 new accounts compared to 34 in the year ago period. Stealth now comprises 99% of our total device revenues from a customer base of nearly 1,200 accounts. Other product revenues rose 26% from the prior year quarter to $3.6 million. Gross profit margin remained consistent with last year at 77%. Cost reductions from higher production volumes were offset by a higher mix of Stealth 360 sales, which has a higher direct cost per unit than its predecessor device and by a small decline in ASPs. We expect engineering enhancements to Stealth and increasing production volumes to continue to reduce unit cost in the future. Operating expenses rose 28% over last year, primarily from planned investments. Investments included approximately $6 million of coronary expenses related to the ORBIT II trial; FDA approval and market launch preparations. We also made investments for competitive enhancements to sales and marketing, expanded clinical and product development initiatives and expanded medical education programs to drive PAD adoption. All of these investments are geared towards generating higher future revenues. SG&A also includes $520,000 of expense for the medical device tax, which became effective on January 1, 2013. Operating expenses were lower than expected for the quarter due to the timing of clinical study enrolment and product development projects; both are expected to ramp up in the coming quarters. Net other expense totaled $445,000 versus $4,000 in the prior year, mainly due to valuation changes of our debt conversion option asset. The resulting net loss of $7.3 million or $0.29 per share was favorable to our guidance and compares to a loss of $5.2 million or $0.26 per share last year. The number of weighted average shares outstanding rose to $24.8 million from $20.4 million last year. This is due to the issuance of 2.3 million shares and equity offering during the third quarter of fiscal 2013, as well as the issuance of stock from debt conversions, employee stock plans and warrant exercises. Adjusted EBITDA calculated as loss from operations less depreciation and amortization and stock-based compensation expense was a loss of $4.2 million, compared to $3.2 million last year. The increase was driven by a larger operating loss, partially offset by higher stock compensation expense. Excluding the $6 million of coronary investments, adjusted EBITDA for the PAD business was positive for the quarter. We finished the quarter with $63 million of cash. After quarter end we refreshed our universal shelf registration to the original $75 million level. While we currently have a significant amount of cash on hand, we may take additional financing in the future if we feel we could increase shareholder value by accelerating or adding to our growth initiatives. I’ll now turn it back to Dave for further comments.
David Martin: Thanks Larry. As you look at the coronary market, it’s estimated that moderate to severe arterial calcium is present in nearly 40% of patients that undergo percutaneous coronary intervention. Moderate to severe calcium contributes to higher treatment costs and poor outcomes. These include a significantly higher occurrence of death and major adverse cardiac events or MACE. The FDA’s approval of our Diamondback 360 Coronary Orbital Atherectomy System opens up a large underserved market for CSI, which is estimated to exceed $1.5 billion annually in the United States. Severe coronary arterial calcium is a vastly underestimated problem in medicine with limited options for treatment. Our ORBIT II trial proved CSI Diamondback technology is safe and effective in treating this complex disease. Securing coronary approval is another key milestone in our mission to provide primary tools for vascular intervention. I’m proud of our principal physician investigators and our scientific teams, together with the CSI team, we are excited to move forward to help a larger physician population to treat these previously underserved patients. We have begun a controlled launch for the Diamondback 360 Coronary Orbital Atherectomy System. Our first four sites have completed nearly a dozen cases with great outcomes. Dr. Sharma, Director of the Mount Sinai Medical Center of New York performed the first procedure, post approval. (Inaudible) has two more cases. One of the cases was posted on YouTube by Mount Sinai and amongst the comments was that it took, less than three minutes from insertion to removal of our device. Our initial coronary rollout is very targeted. With a dedicated team of coronary sales specialists, we are focusing on a limited number of the top medical institutions in the United States. This strategy will continue for several quarters. During this time we are focusing on providing physicians with the quality experience to drive adoption in those accounts and will conduct post market studies to enhance our product offering and further build our body of clinical data. Looking ahead, we anticipate announcing ORBIT II one-year data at the ACC in March 2014. This will be critical for highlighting the longer efficacy of our technology. On the peripheral side of our business, we continue enrollment in Liberty 360°. This study evaluates the acute and long-term clinical and economic outcomes of our Diamondback 360 system in treating PAD. It is the first study of its kind to compare orbital atherectomy to all other alternative treatment in this difficult to treat patient populations. As a prospective observational multi-center study, Liberty 360° will rollout to 1,200 patients at 100 sites across the Untied States. We are including 500 patients with claudication or painful circulatory problem, another 500 who suffer from critical limb ischemia, which is a severe form of PAD and 200 of perfect tissue loss in our candidates for amputation. The medical community is excited about Liberty 360° because it’s the first study that will access long term data on the real world patients treated with various endovascular devices. It will allow a never been done before analysis of critical health economies data. Dr. Cezar Staniloae of NYU Medical Center is the study’s principal investigator and performed the first procedure. About 30 patients have been enrolled to-date and we expect enrolments to accelerate as we more sites completed their internal reviews. Now I’ll detail our outlook for the fiscal 2014, second quarter ending December 31 2013. We anticipate revenue to be in the range of $30 million to $31 million, representing year-over-year growth of 19% to 22%. This includes a very limited amount of revenue for coronary cases due to our controlled launch. CSI’s gross profit as a percentage of revenues should be consistent with the first quarter of 2014. We anticipate operating expenses approximately 10% higher than the first quarter of 2014, primarily for additional coronary investments. Interest and other expense should be about $300,000, excluding the effect of debt conversions or valuation changes of the related conversion option asset. The resulting net loss is expected to be in the range of $9.1 million to $9.7 million or loss per common share ranging from $0.36 to $0.38. This assumes 25.6 million average shares outstanding. This excludes the potential effect of conversions or valuation changes related to our convertible debt. To conclude, this fiscal year today has been filled with many accomplishments. We delivered a very strong first-quarter of revenue growth, and secured a landmark FDA approval. We began a controlled coronary market launch and we advanced scientific data through clinical trials, all this sets the stage for continued revenue growth in the future. Now operator, we’ll take some questions.
Operator: (Operator Instructions) And your first question comes from the line of Brooks O’Neil with Dougherty & Company. Please proceed.
Brooks O’Neil: Good afternoon. Congratulations on all your accomplishments. I have a couple of questions. David, you detailed a little bit about your launch plans, but could you just give us a little bit more color in terms of – and maybe when you are thinking you’ll start to ramp-up your expansion to a broader number of centers.
Dave Martin: Sure. We’ve got a long-term view. This is a wonderful time for patients and physicians. We got a franchise that we’ll be rolling out for years and years to come, so in the opening quarters here, two to four, we are really going to extend ourselves on understanding the clinical data, polishing up all the great learning from ORBIT II, looking to refine the procedure and the process of installation with some of our select partners up front so that we roll out into the broader market. We will have a lot of solutions and a faster track for adoption over the long term.
Brooks O’Neil: Great, the second question. Do you anticipate any impact on the PAD efforts as a result of your ramping-up in the CAD area?
Dave Martin: Yes, we really do. We think there will be a [glow] [ph]. The vessels in the heart are one to four millimeter, the vessels below the knee are one to four millimeter, calcification and complications in both areas. And we think those physicians, let’s just say physicians four and five and some of the accounts that we call on now who are looking for a little more validation that this product is safe and could be routinely used for the most complex and difficult cases we think that this will be another data point for them to consider and get involved as we go forward.
Brooks O’Neil: Great, and then just one more. It just would be very helpful if you could detail anything about the competitive environment. Obviously you said this is the first and only product approved in the coronary area for severe calcification, but what do you see out there, what do you expect over the next year of so?
Dave Martin: Well, we don’t expect another device like ours. Our mechanism is unique. It’s never been offered before and we’ve got a great runway going forward to help a lot of people over time. I think more in terms of opportunities, it’s just awareness of calcium. There is no device to treat it before. It was swept under the rug a little bit. Some of these patients ended up with medical management, some in coronary artery bypass surgery and then as some of the physicians here at the TCT explained from the podium last night and throughout the day, for those patients with calcium, they are the toughest cases. Calcium means that complication is coming, and so the ability to treat in just a few seconds with our device and start that case off differently is a real opportunity.
Brooks O’Neil: Great. Thanks a lot.
Dave Martin: Thanks Brooks.
Operator: Your next question comes from the line of Danielle Antalffy, Leerink Swann. Please proceed.
Danielle Antalffy: Good evening guys. Can you hear me okay?
Dave Martin: Sure can.
Danielle Antalffy: All right, great. Thanks so much and congrats on another awesome quarter. I was wondering if you could comment on – as we think about the remainder of fiscal 2014 and the variables that play here, especially for your peripheral business now that you know you’ve had few really strong quarters, it seems like the momentum is continuing but there are some new variables. Number one, you have the coronary. So wondering if could comment on how you can ensure that it won’t be a distraction there as it relates to the peripheral business. And then number two, obviously the office based lab proposed reimbursement cuts, which of course are not final, but let’s assume if they do go into place, how we think about maybe the remainder of fiscal ‘14.
Dave Martin: Yes, thanks Danielle. The first question about distraction, possible distraction of the great news of coronary, we got 20 specialists and management to go forward with the very controlled limited launch. So we’ll be able to really get answers in a hurry and also keep the high growth momentum that we got right now in the peripheral franchise. And the second question?
Danielle Antalffy: The second question was, as we think about the remainder of 2014, also assuming this proposed office based lab reimbursing cut goes into place, can you give us come color on how you think about that and potential impact to volumes and maybe give us some color on what percentage today of your users are in a office based lab or what percentage of the procedures are in office based lab.
Larry Betterley: Sure. Now we like the office based lab environment, but it is less than 20% of our business. So there is a lot of discussion on where that reimbursement will end up. Regardless we think we are pretty well positioned in the office space lab. It’s been the quick turnaround in our device, the quick procedure time, been able to treat multiple vessels with one device those add in a very safe way really are competitive advantages for our product. And also since we have such a small penetration in the overall PAD market today, there is ample room for growth wherever the procedures are done. As you know, we are very strong in the hospital where the ASPs are actually higher. So while it’s unfortunate that OBLs are under pressure, we feel that we are pretty well positioned to be successful either way.
Danielle Antalffy: Do you guys think that there could be, and Dave I know we talked about this just one on one, but I was hoping you could comment on whether you think this could drive a shift back into the hospitals like these physicians could do more procedures, but do them more in the hospital or do you think it continues in the office based lab setting and that growth can continue regardless of the reimbursement cut.
Dave Martin: Yes, the patients could go back to the hospital, but I think those physicians who are trenched in the office based will continue to work there. It’s a great place to work, it’s very patient centric and they can continue to make money, particularly with the Diamondback we got one device treats multiple vessels. We are the only device that routinely allows them to get to a big part of their practice, which is below the knee, and the economics on lower extremity reimbursement for the office based lab are still very strong. But it’s a good point because reimbursement did go up in hospital, both in-patient and outpatient and that will continue to be the lion’s share of our business going forward. If anything right now, you will have to watch it very closely. I think maybe if the reimbursement cuts go through maybe it will slow the number of physicians who come out of the hospital and set up an office based practice.
Danielle Antalffy: Right, okay and one last question if I could. I just walked out of the Bard Lutonix drug-coated balloon presentation. Obviously there is increasing excitement around drug-coated balloons and the potential for drug-coated balloons plus atherectomy. Can you comment on your guy’s perspective there and what you might be doing or what you’d be willing to do in combination with the drug-coated balloon longer term. Thanks so much.
Dave Martin: Yes, you bet. There is great excitement about drug therapies and certainly the patients would need it, and all those technologies and the company that drive them are interested in getting into the very large calcium markets. The absence of calcium, a smooth tubular lumen that only one mechanism of action makes, that leaves the native artery intact, that preserves the media, that is the opportunity for those drugs to get to the majority of lesions and get the most uniform up-tick in the vessel wall and into the media. So we feel again that we’re primary device and then afterwards somebody’s advances could really help patients. So we are very excited about that.
Danielle Antalffy: Perfect. Thank you guys. Have a good day.
Larry Betterley: Thank you.
Operator: Your next question comes from the line of Jose Haresco with JMP Securities. Please proceed.
Jose Haresco: Hey, good afternoon. So let me add my sort of chorus in congratulations on both the quarter and obviously the FDA approval of the coronary system. A couple of questions; so you talked about doing a slow rollout. Could you give us a sense of which centers you will targeting and what sort of activates you will be focused on as part of this rollout and how long do you think this slow rollout period is? Somewhat related to that, it will obviously be down to your TCT like everybody else. There is lot of excitement around the product, but people want to see longer-term data, so should we be expecting you guys to run a (inaudible) of like study and I’m looking at the issue of weight loss, and this one has the Achille's heel of rotational atherectomy.
Dave Martin: Sure, let me start with the clinical data. We’ll be tricking down the initial cases. We’ll also be (inaudible) that over two data, the one-year in that March ACC and that will be important, I think people will be looking to that. In addition we got a May’s trial which studies further this unstudied population. It studies what people do in the absence of the Diamondback 360 with the severely calcified coronary artery and the initial indicators are really it’s lightening. For example, it looks like acutely just the date of the case, that by using the Diamondback 360 you can save $4,300 in cost from the date of the case, versus fighting through this difficult patient population, the time and all the addition show that you need to bail out of a complex severely coronary artery case. So we’ll continue to bring that data and the market does want that date for the broader launch, we’ll focus on that. Another examples of the things that we are doing right now, we’ve got blueshift Tier 1 medical education and its been driving our peripheral business through extraordinary growth and we would like to have extraordinary medical education programs for our coronary introduction into the broader market. So that’s one the things we’ll be looking at as the curriculum and what’s the best way to communication information and disease state awareness to physicians who will be using the Diamondback 360 in the coronary space.
Larry Betterley: On the rollouts Jose, I think for this fiscal year we are focusing really on outcomes driving adoption in key accounts, generate the key opinion leaders. Probably going into next fiscal year we’ll start a broader rollout. That’s our current estimate at this time.
Jose Haresco: Okay, so is it fair to assume then that for at least the next six months you’ll focus on that roughly 30% of your account base, that is interventional cardiology before you start adding on…
Dave Martin: We’ll also focus on new accounts who have high procedure volumes in coronary, who may not be peripheral users today. Those will be a key focus for us as well.
Jose Haresco: Okay and maybe a little bit too early, but since its approval, have you gotten any interest from potential partners on the international side. Have you thought about that or how should we think about that going forward given that you guys are having the right resolution. Although it seems like clearly there is going to be a lot of interest in this product from other parties.
Dave Martin: Yes, we’re excited go overseas. We’ve gotten a lot of interest as you could imagine, but we’re keeping our control right. We just completed a trip to Japan and we are starting things with the Ministry of Health in Japan and we are looking forward to a Japanese introduction in a few years from now when we get to the ministry. We have had CE Mark past on some of the previous products. We are looking forward to getting that. We will go in some selective European countries. We’ll have a clinical bias like we do here in the U.S. So we’ll conduct studies and control launches in a limited number of countries by the end of year.
Jose Haresco: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Ben Andrew with William Blair. Please proceed.
Dave Martin: Ben, are you there? We might have lost him.
Operator: Your next question comes from the line of James Terwilliger with Wunderlich Securities. Please proceed.
James Terwilliger: Hey guys, can you hear me?
Dave Martin: Yes, clear James.
James Terwilliger: Real quick, like everybody else congratulations on a great quarter with your coronary regulatory approval. I’d like to build on the previous question though. I’m not so as concerned in terms of distribution for Europe and Japan, but you got great clinical technology and I know you’ve always put the patient first. You have a desire to help patients. So what would be the R&D plan now that you got your coronary approval for both Europe and Japan?
Dave Martin: Yes, well we don’t have it for Europe, yes, but now that we got U.S. approval we are going to move forward on that. But its not just on R&D, we did hire Mike Yang as Vice President of Science, Research and Development. He’s had a prolific career at Johnson & Johnson and before that St. Jude. There are a number of products both in the peripheral space and the coronary space that we got in the queue and the science opportunity is rich as well. We can enlighten the market on the physiology that goes with our device and our outcomes, as well as the opportunity for our device first and drug therapies second. So it will be a science queue as well as that we will think we’ll informal the market and drive further adoption.
Larry Betterley: Positioned to that James, we also on the coronary side as we have been working on, a different crown type than the one that was approved. We’ll have better standing and crossing capabilities and that will be part of studies going forward.
James Terwilliger: Excellent, thank you and then my second question was really on the coronary launch in the United States. Can you remind me how many coronary sales reps you have right now, feet on the street, and then what is the number you would like that to get to?
Dave Martin: Early on here we got about 10. We did a great job getting cases in the first 48 hours and we got great outcomes and really satisfied happy customers at Mount Sinai and Memorial Hermann Medical Center in Texas, Metropolitan Cardiology Consultance Dr. Chambers there in Minneapolis and then St. Francis Hospital, Dr. Shlofmitz and his team in New York and we are moving to 20. So perhaps we think 20 is the right number at the offset here. But we’ll have to look at the optimal model is and search that gong forward.
James Terwilliger: Thank you. And then my last question is really just how is the TCT going for you. I mean to get your coronary approval with the clinical data that you have and the buzz that you have. I would imagine it’s a very robust and exciting TCT conference for you. Any feedback on the TCT conference?
Dave Martin: Yes, it is exciting and the buzz is about calcium. There is some great data presented. It seems like literally very third presentation at the TCT is not the complications that come with calcium. Including last night the TRF database continues to bring forward information about the increases cost that come with the complications related to calcium. And so now we got a device that can treat that routinely. I think there is excitement and there is a lot more to learn there and what our job is to bring specific numbers home to our user base and a great first class medical education programs, so that we can start up center after center as we proliferate the use of the Diamondback with the coronaries.
James Terwilliger: Excellent. Thank you for taking my questions and congratulations again on a great quarter and your regulator success. Thanks guys.
Dave Martin: Thanks James.
Operator: (Operator Instructions). Your next question comes from the line of Jan Wald with Benchmark Company. Please proceed.
Jan Wald: Hi, good afternoon and again to both of you, congratulations on the quarter and on the approval. I guess you intrigue me with a couple of things that you said during the call. One is on the medical science end of things. I think that’s an intriguing opportunity for you and I guess I’m going back to the guiding phase where before they were for secondary prevention devices and they moved to primary prevention devices. What do you see the goals or the medical science activity at CSIIT at this point? What do you want to demonstrate? What do you want to see?
Dave Martin: Well, the physiology and the biology drug I think up-tick. Drug up-tick is a great opportunity to be first with some of the key learning’s that will guide treatment options going forward for all the exciting drug therapies coming forward and then the calcified patient is a real opportunity, just hasn’t been studied. This group of people has been excluded from every trial ever in this space. So there are a lot of key learning’s and we are in the great position to lead scientifically in that area.
Jan Wald: Okay and then the other intriguing thing that you said that was that there could be a trigger that would speed up funding of various initiatives that are going on in the company. What are the kind of triggers that you’re looking for there? What should we, I guess look for and see whether or not you are gong to increase your funding for some of these initiatives?
Dave Martin: Yes, as always there’s ways to accelerate the business. For example if we did – the medical education mentioned before its been a great way to show physicians that with our device and our unique mechanism we can access the disease from the femoral artery, from the foot; the tibial artery from the calf which has never been done before and they like that peer to peer, faculty engagement environment to learn that new approach. Our small, very low franchised device will be well suited for the radial artery and some of the newly based approaches that excite people going forward. So if we were to optimize our medical education program as one example that would be a trigger to move forward and expand a lot more aggressively.
Larry Betterley: Another potential area is of course the coronary launch as we go through that and see how it progresses. So there could be an opportunity to expand that or accelerate that as well.
Jan Wald: Okay and I guess my last question just in terms of the Liberty 360° what’s the latest, I guess estimates on timeline and when we can expect some data.
Dave Martin: Well, that will be another great area for acceleration. We stated that, we got our eye on 1,200 patients to start. We’ve had a great opening experience with some of the top centers and treating some very, very difficult cases, including having amputations in the early enrolment here. But we would like to publish the tier 1 journals and as soon as we get to case 100, there is no reason that we couldn’t mine that data and in fact some physicians including Manesh Patel from Duke University are looking forward to do exactly that and to get that information out. So early and frequently will be the answers to your question.
Jan Wald: Okay. Thanks very much and congratulations on the quarter.
Dave Martin: Thanks Jan.
Operator: There are no further questions at this time. I will now turn the conference back over to David Martin, Chief Executive Officer for closing remarks.
David Martin: Thank you. CSI is committed to helping physicians conquer the most difficult disease states, including arterial calcium. We do this through clinical science, innovation and a drive to improve clinical and economic outcomes. We’ve had an exciting start for the year and we look forward to updating you on our future success.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participating. You may now disconnect. Have a great day.